Operator: Thank you for standing-by. This is the conference operator. Welcome to the Brookfield Asset Management 2015 Fourth Quarter and Year End Results Conference Call. As a reminder all participants are in listen-only mode and the conference is being recorded. After the presentation there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Andrew Willis, Senior Vice President of Communications. Please go ahead.
Andrew Willis: Thank you, operator, and good morning. Welcome to Brookfield’s fourth quarter webcast and conference call. On the call today are Bruce Flatt, our Chief Executive Officer; and Brian Lawson, our Chief Financial Officer. Brian will start this morning discussing the highlights of our financial and operating results in 2015. Bruce will then talk about our market outlook and Brookfield’s priorities for the coming year. After our formal comments, we will turn the call over to the operator and take your questions. In order to accommodate all those who want to ask questions, we ask that you refrain from asking multiple questions at one time, in order to provide an opportunity for others in the queue. We will be happy to respond to additional questions later in the call, as time permits. At this time, I would remind you that in responding to questions and in talking about new initiatives and our financial and operating performance, we may make forward-looking statements. These statements are subject to known and unknown risks, and future results may differ materially. For further information, I would encourage you to review our Annual Information Form and our Annual Report, both of which are available on our website. Thank you. And I’ll now turn the call over to Brian.
Brian Lawson: Thanks, Andy, good morning. We had a good year across all our businesses in 2015 and we are off to a strong start for this year with major growth initiatives underway across the company. During 2015, we raised $17 billion of fee-bearing capital, bringing our total to the $100 billion level. We committed over $20 billion of capital to new investments. And we continue to harvest mature investments at attractive valuations, allowing us to return capital to clients and reinvest in higher yielding opportunities for the future. Our funds from operations or FFO, increased by 18% last year to $2.6 billion or $2.49 per share, breaking this down, FFO included the following: fee-related earnings and carry of $551 million that’s up 45% over 2014. FFO from invested capital, which stood at $1.2 billion similar to the level earned last year as strong performance in many of our businesses offset headwinds in some of the others. And $842 million of realized disposition gains as we took advantage of strong demand for real assets to lock in gains and free up capital for investment. Consolidated net income for the year was $4.7 billion or $2.26 per Brookfield share and included a healthy amount of valuation gains on our property portfolio, although not quite to the same extent as we saw in 2014. So turning to our asset management results, fee revenues increased to $943 million, that’s 24% increase. That was due in turn to fees on new private fund capital raised during the year, as well as expansion in the capital basis of our listed partnerships. Over the past decade we’ve built a global asset management business, and the strength of this shows our ability to raise capital from both private and public markets. Our private funds listed partnerships and public security portfolios had net inflows of $14 billion, so that’s $17 billion gross and $3 billion of which was returned. And that also included $3 billion of net inflows in the fourth quarter. Our three new flagship funds are each 50% larger than the predecessors. All three of our listed partnerships increased the cash distribution to unit holders last year and early this year. The incentive distributions we receive for increasing these payouts rose to $72 million, up from $48 million in 2014. We added $219 million to unrealized carried interest and crystallized $32 million during the year, unrealized carry now stands at $658 million. The growth in our asset management business is reflected in the increase of the level of annualized fee basis and target carry to $1.6 billion, and that’s up nearly 30% over last year. I’ll now move to the results from our operating businesses. Performance was favorable overall, despite facing headwinds in several areas. We had improved results for our property and infrastructure businesses as a result of operational improvements and expansions projects. However, we did face lower water levels in our renewable power business, lower energy prices and lower currency exchange rates. The property business had an excellent year. New leases and major office buildings began to contribute to our results and we also recorded significant FFO from newly acquired assets, such as our increased interest in Canary Wharf and U.S. multifamily operations. FFO from operations was at 9% slightly over $600 million. In an addition we had nearly $800 million of disposition gains on the sale close to 100 properties, including buildings in Melbourne, Toronto, London and New York. And we continue to see very strong demand for high-quality properties such as these. During the year, we acquired office properties in Berlin, increasing our presence in Europe, and moved for with premium developments in destination cities such as Dubai, London and New York. Our renewable power business generated FFO of $208 million that compares to $313 million previous year. We did have positive contributions from newly acquired facilities, however, as I mentioned about, we did experience lower water levels and the hydrology was well below historic levels in the eastern U.S., Canada and Brazil. 9% below long-term averages. So if hydrology had turned out roughly in line with historical levels, we estimate that FFO would have been around $70 million higher, all else being equal. Subsequent to year end, we invested $2 billion in a hydroelectric portfolio in Colombia and expect this business to make a significant long-term contribution to our performance as it has both 3,000 megawatts of existing facilities and 3,800 megawatts of development projects. Our infrastructure business FFO increased by 10% to $245 million. We had good performance from new acquired assets such as the $70 million of FFO from our communications business in Europe and also benefited from internally generated growth initiatives which contributed 12% increase in FFO on a same-store constant currency basis. We continue to move forward with the acquisition of an Australian port and logistics business. In our private equity operations FFO was $286 million, generally in line with our expectations. We had $25 million of disposition gains in the year, compared to $239 million of gains in the previous year, which reflected a particularly large disposition. Finally, the Board of Directors declared a quarterly dividend of $0.13 per share that represents a $0.52 annual payout to be paid at the end of March, and that represents an 8% increase over the previous dividend rate. So, with that thank you and I’ll now turn the call over to Bruce.
Bruce Flatt: Thank you, Brian and good morning everyone. Today I’ll cover four topics, the first is fund raising; second, investment opportunity; third, our views on markets and fourth, I’ll make some comments on our balance sheets and capital recycling. As always, afterward we welcome your questions on the phone. Starting with fund raising, our institutional and sovereign fund partners continue to increase their allocation to real assets. We’re completing the marketing of two of our flagship funds just now, which will close in the first quarter, with approximately $12 billion of commitments. We also expect to complete the first close of one of our other flagship funds at upwards of $10 billion in the first half of the year. With each of the funds at least 50% larger than their respective predecessor. This sets us up well for continued growth in the business. To answer the question, many have asked us, we continue to see very strong allocations from institutional clients for real assets from every market in the world, some with large increases to the sector. Based on our pipeline, we should be able to complete fundraising in 2016 for all of our new flagship fundraised capital for a number of other investments from our institutional partners and advanced fundraising for a number of other funds. Our private fundraising capacity continues to strengthen with our institutional relationships deepening. Increasingly, we’re offering our largest partners of range of products, which include their participation in our funds, but also for many co-investments and transactions with us and direct investment alongside our listed partnerships. Examples of recent co-investments and direct investments are Isagen in Columbia, our Canary Wharf investment in London, other London and Australian and U.S. office properties, and more recently an office retail complex in Europe. This integrated approach which often involves large transactions can only be offered by the largest managers with scale. And this stands us in good stead with our partners. With respect to investment opportunities, we’re seeing significant numbers of investment opportunities that meet our investment criteria across the board. This is the result of the accentuated macro themes over the last few years that we’ve been focused on namely, number one, the lack of capital in the emerging markets. Two, the significant declines in commodity prices virtually across the board, three, in the currency rate movements against the U.S. dollar and therefore making a cheaper to buy things in other markets around the world. And four, the broad selloff in the U.S. high-yield bond market. Specifically to the U.S. high-yield market, we’ve been and are investing significant amounts of dollars into high-yield bond positions today across most of our funds at what we see as exceptional yields to maturity and some which may turn into further opportunities in those funds. With respect to the market environment, our view is that the U.S. economy continues to improve making – it made 2015 the first year of interest rate increases since 2006. We expect more in 2016, but this will only happen in the event of continued growth in the United States. Jobless claims in the U.S. recently came in at their lowest numbers in over 40 years and many industries are doing well including a number of ours, despite what catches the headlines in the news. Given this our view is that U.S. interest rates will slowly grind upward over the next number of years. And in this environment, real assets will and/or performing extremely well. They should continue to hold their value as cash flows increase, and at a minimum, offset any interest rate increases and for most assets will exceed them. Should rates not increase, real assets are the place to be. We also continue to see exceptional pricing for mature high-quality real assets, and therefore, we’re continuing to sell some of those in order to free up capital for investment elsewhere, lock in returns in some of our funds, return capital to our partners and they’re stronger than they are today. Turning to Europe, it has recovered from a very difficult situation and is ever slowly seeing life. With the euro at closer to par to the U.S. dollar, many businesses are doing better, manufacturing, tourism, retail. The European market will exhibit very slow growth for a long time and real assets may be the only place to find yield in a market where trillions of dollars of government bonds have been forced to negative yields by quantitative easing. We’ve been finding exceptional assets to acquire and we’re able to finance them with very long-term low rate financing, generating strong cash yields to equity and we hope to continue to do this. In the rest of the world, the U.S. dollar was strong against almost every other currency in 2015. This was caused in part by the divergence in money monetary policy, but also because of the emerging markets and commodity currencies were dragged downward with an unrelenting pressure of declining commodity prices. While the lower currency showed our short-term results, as a result of converting foreign currencies into fewer U.S. dollars, we had many of our assets hedged and most of the short-term negative detraction from results will shortly be over. Lastly, I want to cover funding of our balance sheet and recycling capital. As Brian mentioned, we’re in excellent financial shape with very good access to many forms of capital. In this environment, this is clearly a competitive advantage. We primarily invest two forms of capital. The first is private capital on behalf of a largely institutional and sovereign fund partners which I spoke about earlier. In this category our access is very robust and in fact, has never been better. The second is our listed markets capital on behalf of retail oriented investors. This capital is either deployed in our three listed Brookfield partnerships or within our listed markets business. Our private funds have durations usually 10 to 12 years, and therefore capital recycling occurs within those funds naturally. As we continue to harvest capital from earlier generation funds, we return capital clients and our portion of that capital is then available for investment in the new funds or other investments on our own balance sheet. As our private funds have become larger, we’ve been decreasing our percentage commitments to each fund, even though the quantum is large and still increasing, because the funds are getting larger. As a result of the capital harvested from earlier funds, should be sizable enough to fund the commitments we have made to later funds on new funds on a self-sustaining basis. With respect to our listed partnerships, we now have achieved critical mass in each of them to the point where they can grow themselves either through internally generated cash or by refinancing or selling assets that have matured on their balance sheet. This means that each of these entities is self-sustaining and doesn’t need to fund their business model by accessing the capital markets. Other than for some reason we believe the right strategy is to issue equity. For example, Brookfield Property Partners now has an equity base of $22 billion. Internally within the company we sold $2 billion of equity in assets at excellent prices over the last 12 months and trying to sell about the same in 2016. It has enabled us to repay 100% of the acquisition facility put in place to acquire the other half of the office company two years ago, fund our development pipeline to make a number of acquisitions in the company and we will continue to use the resources inside the company to do that. Brookfield’s infrastructure has increased its equity base to $8 billion and has been redeploying capital from more mature assets into ones with what we perceive this greater upside over the longer-term. This included selling electricity, transmission lines in the U.S., New Zealand and more recently in Canada. And we have a few asset sales targeted for this year. As a result, we do not need to access the public markets to continue to grow our business. The last partnership, Brookfield Renewable is also self-sustaining and it has been for over 10 years. To fund further investments over and above our operations and developments, we utilize the sizable cash generated in the company and also have been up financing assets as the values increase, as well as selling some mature assets within the company. That concludes my remarks. Operator, I’ll turn it back to you, and Brian or I would be pleased to take any questions if there are any.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Your first question is from Bert Powell of BMO Capital Markets. Please go ahead.
Bert Powell: Thanks. Bruce, with fund raising or what you’re in the market with today looking like it’s going to be completed mid-2016, how soon can you turn around and launch new funds, or what are the gating issues around that from a legal perspective? And also just maybe around demand to start going again right after you’ve finished?
Brian Lawson: So, hi Bret, it’s Brian, I’ll just start off and then Bruce will follow-up as necessary. So, just in general the way it works is, you raise the money, there’s a three-year investment period that you deploy the capital in. And once you get to the 75% or 80% level, then it is permissible to go and begin raising your next fund at that stage. Obviously, you want to be largely – and your investors want to see you largely investing that current fund until you move on to the next one. So, that’s the legality or the operational side of it.
Bruce Flatt: And I think our real estate fund is probably, usually before for closing of a fond we’re normally 30% to 40% invested within a fund. So it takes time to close a fund as you’ve started and you’re already investing the capital during that period. So usually you start a new fund probably a year after the closing of prior fund, because you’ve already had a year of investing usually in that.
Bert Powell: And Bruce what about other strategies, I think you’ve ceded on the hedge fund side, and I guess private equity, are you free to start looking at fundraising on for those kinds of strategies?
Bruce Flatt: Yes. So, our – we continue to create products where we see we have a competitive advantage and we can bring our clients into them so we created a number of debt products and will create more within either our real estate infrastructure business, where we have a hedge fund or we’ve been buying distressed and high yield bonds. And we’ll continue to increase the size of that. And where we see opportunities, we’ll continue to create funds for strategies. In addition to that, as you know we have a lot of core product that on our balance sheets and we continue to bring our investment clients into core properties and other infrastructure assets with us.
Bert Powell: Okay, that’s great. Thank you.
Bruce Flatt: You’re welcome.
Operator: The next question is from Brendan Maiorana of Wells Fargo. Please go ahead.
Brendan Maiorana: Thanks good morning. So Bruce, I understand it makes perfect sense about kind of the asset recycling, given where equity prices are now would be challenging for the listed subsidiaries to raise capital. But it seems like given how much success there’s been in terms of the capital raising from your institutional partners that there’s a lot of investment that the institutional partners are likely to do that you’re going to do on their behalf. And do you have enough scale in the listed partnerships to be able to monetize assets, to be able to invest alongside those institutional partners? Or is this something where maybe really the size of investments, the percentage that Brookfield has had alongside its institutional partners is going to drop really meaningfully over the next few years.
Brian Lawson: Yes. Hi, Brendon, it’s Brian. So when we setup each fund we have the point you’re making very much in mind, that we get the right kind of, as you know, it’s really trying to balance out the investment opportunity set, the availability and demand from institutional clients, as well as what is the right amount of investment to be made over the next few years from the listed partnership. And I think one of the things you’re seeing and Bruce alluded to this in his comments, stated this in his comments, is having that flexibility to when it’s appropriate and you can do it on accretive basis, go raise the listed capital from the listed capital from the public markets for the listed partnership. But what you’ve also seen us do over the past number of years and we see excellent opportunity to continue to be doing this, is harvest and monetize assets directly off of the listed partnership balance sheets, as well. And so that gives us the ability, the flexibility to find the right and really, I’d say almost are between public and private opportunities to raise capital. And then finally, what we are seeing as the funds mature and we begin to approach the monetization periods, harvesting periods reaching the funds a significant capital flows coming back to us from those funds. So there are number of different avenues to source that capital, so that the listed partnerships can be continuously redeploying and recycling capital to up the returns.
Bruce Flatt: Brendan, I was just going to add. I’d maybe just add to it that there’s no doubt that and I made everything clear in the comments, I made. But what we’ve been doing is, decreasing the percentage of the funds that we have as they get larger. So our quantum of dollars is still quite significant, but the number, just because the size of the funds are getting to $8 billion $10 billion, $15 billion the percentage is coming down. And therefore, there’s less pressure on those companies if you’re making very large commitments. In addition to that and I guess it’s just important to note that we have – we keep the liquid balance sheet up top in Brookfield Asset Management and such that, if we ever needed to fund commitments like that, we could always take part of the commitment in them and then either keep it or feed it off to institutional clients, other institutional clients over time. So there’s lots of flexibility on our balance sheet and that’s why we keep them pretty flexible.
Brendan Maiorana: And maybe just as a follow-up, I mean is the percentage decrease, I think a lot of the pitch that you guys made and were successful and have been successful that was your capital is going to be invested alongside of these institutional partners. And I think typically you guys had been the biggest investor in a given fund or strategy. Is the decrease in percentage terms, I mean, is that – is this something like 25% down 10% or is it you’re still probably the biggest individual investor in kind of each of the strategies, as you’re laying out?
Bruce Flatt: So in our flagship funds, we used to be as you know when we had the earlier series we were a 100% of the money. We were then 75%, then we were 50%, there’s no fund, where we’re under 25% of the money. But the quantum’s of dollars are becoming very significant. So when you have a $15 billion fund and you are 25% of it, its $3.25 billion. And that’s a lot of money. And we don’t have a client that has that much money in a fund, in one specific fund. And I don’t think you’ll probably ever see a client with that much money in one single fund. So I think our story holds very true and we did not have any issues with our clients. It’s just because the quantum’s gets a large.
Brendan Maiorana: Yes, understood. Okay thanks guys.
Bruce Flatt: Welcome.
Operator: The next question is from Alex Avery of CIVC. Please go ahead.
Alex Avery: Thank you, just reflecting on all of the volatility that we’re seeing in a lot of different markets around the world, I know you guys have a very long-term view. But can you talk about any, I guess different investments, types or geographies have been changing in relative appeal, in the last, say six months?
Brian Lawson: Yes, I would just say that the same themes exist today as they had over the past few years, except they’re much more significantly accentuated today. And probably the biggest one that has changed is the oil and gas markets, as you know, everyone knows, have deteriorated very significantly in the last six months and that’s caused a lot of stress in a number of areas, and commodity prices have changed a lot. And those two areas are increasingly generating opportunities in, around the pipeline area in the infrastructure area, and other different things. So, I say that’s probably the largest one. And secondly, I’d say there’s – because of the selloff in the stock markets, there’s a lot more opportunities we’re seeing in selloff in stock markets and bond markets. There’s a lot more opportunities we’re seeing in the listed markets than what we would have seen 18 months ago. And those are probably the two biggest changes.
Alex Avery: Okay. And then you have talked a lot over the past few years about investing in infrastructure around commodities. Given the, I guess the severity of the commodity price weakness and the fairly extended period over which we’ve seen very depressed pricing, can you just talk about counter-party risk exposure and how you manage that?
Bruce Flatt: Yes. I would just say we’re in a – the infrastructure business and the real estate business are really just, you own tangible real assets and you rent them to people, and credit party consideration is really what we do for a living. So we spend a lot of time thinking about who our tenants are in a retail mall and office building pipeline, railroad or any other thing that we rent people. And we don’t think we have significant exposure to anything that’s going to bother us around the hedges, obviously we do. But, as you are around these type of things, but not very much. And so we don’t foresee a lot of issues.
Alex Avery: Okay. That’s helpful. Thank you.
Operator: The next question is from Andrew Kuske of Credit Suisse. Please go ahead.
Andrew Kuske: Thank you, good morning. I think, Bruce, you made a comment about a lot of focus on the U.S. high-yield market and obviously this piggybacks on some of the earlier questions that one of the biggest issuer groups in that is energy. And so, when you look at that vertical, is it the combination of a lot of high-yield access in the past, capital models, that your business models would generally require a lot of capital market access and then just the way spreads have blown out really combining to a good perspective investment environment for you, both on in the paper and then possibly distress situations.
Bruce Flatt: Yes, I would just say that the high-yield markets, a number of them are in energy, but all the other high-yield markets are pretty significant and everything in the high-yield market has gapped out as you likely know, and then a lot of the things that we are looking at aren’t energy related. There is no doubt some of them are around the edge – around the energy area, but not specifically oil and gas opportunities. But there’s – I think those will come as well overtime, but it may still be a little early.
Andrew Kuske: And then just further in the discussion, are there – is it just easier for you to have a good view on potential distress situations or high-yield within the U.S. market given the fact that it’s largely a public traded market? And then how do you compare that to what’s happening in Europe or is it still largely a bank driven lending market?
Bruce Flatt: Yes. The thing I would say is, there are opportunities around the world. They come in different forms in different places in different types. What the U.S. capital market has versus every where else, is the widest and deepest market. And secondly, most of its credit is listed in trades with CUSIP number. And therefore you can buy it in the second-hand market easily as opposed to as you mentioned in Europe, it’s mostly in a bank market. So they’re just much more accessible opportunities in the short-term versus some opportunities you might otherwise find from a banker something else in Europe. They are just more difficult to access.
Andrew Kuske: Okay. Thank you.
Operator: The next question is from Cherilyn Radbourne from TD Securities. Please go ahead.
Cherilyn Radbourne: Thanks very much, and good morning. So the disconnect between public market values and credit market values has been the theme on the conference calls for all of your listed issuers. And I notice that you have been buying back stocks. So I did want to ask the question as to how you will evaluate the attractiveness of buying back your own stock versus pursuing new investment opportunities here.
Bruce Flatt: Yes, Cherilyn, I just say that we are in the business of capital allocation and we constantly look at stock prices versus opportunities to buy or to invest capital into other things. And bottom-line, if you can find a additive opportunity in a business which is beside a business that you have or combined something into a business you have, usually that’s better than putting money into buying your own stock back. You get a one-time change when you buy stock back, but you can multiply it if you can have a highly additive to an operating business that you run. So first place to look is, trying to add to the businesses, but when we see opportunities to buy capital back, we tend to do it and it’s easy money in doing that and it’s simple. And when it gets – when it gaps out to a level where it’s much more significant than just smaller amounts, we generally do it.
Cherilyn Radbourne: Okay. And then if I look back over the last 12 months, one of the larger drags that you had to overcome has been poor hydrology in the power business. So wonder if you could just comment on how confident you are that that business is positioned for a better 2016 from a hydrology standpoint?
Bruce Flatt: There is a lot of things that Brian and I can promise you, we can’t promise you that there’s going to be rain. But it appears that hydrology levels in Brazil, we have three main hydro businesses, one in Canada, one in U.S. and one in Brazil. It appears that hydrology levels – water levels in Brazil are getting much, much better. There was a drought for two years straight in Brazil. Reservoir levels have been coming up very significantly, they doubled in the last three months. And they continue to increase and it’s raining in Brazil and that’s a very good thing for the country in general, and for our water business there. So I would say that the. Brazil component, the business looks much, much better. In North America, it has been – had low water levels and we are back at average today. And maybe a little bit better than that, although we won’t count that yet. And I would just say that we think based on all aspects, all knowledge we have today about water levels and where we sit for the year, the 2016 should be a pretty good year.
Cherilyn Radbourne: Great. That’s my two, thank you.
Bruce Flatt: You’re welcome.
Operator: [Operator Instructions] The next question is from Mario Saric of Scotia Bank. Please go ahead.
Mario Saric: Hi, good morning. I want to come back to the kind of shifting co-investment philosophy as the private fund gets bigger in size. And historically, prefilled kind of stood out in terms of the co-investment percentage and whether 25% to 40% much larger than some of your peers. Now clearly you have strong operational expertise in the various funds, and the returns have also been good. Going back from an LP perspective in the private funds, how much of a competitive advantage was it to see Brookfield at 40% versus your peers at 10%, when they’re starting to give you money as opposed to someone else?
Bruce Flatt: So, I think our – I think there’s sort of two questions there, and I’ll try to answer both of them. I think our commitment to the funds is a very important factor when we sit with investment committees. And I’d say more important from the corporate perspective of Brookfield Asset Management, the culture of our organization has been built on that and I think it’s a very important factor in it and that pervades all the dealings we have with our clients. So, I think it’s important. And the size whether it’s 25% or 40% the numbers are large, I don’t think it changes anything. From a co-investments and direct investments we do with clients, I’ll break our clients out into two general groups and there’s smaller institutions who look for us to invest their money in funds, because they don’t have large scale organizations to do what we do. And as a result of that we take their money put in our funds, we put it to work, and we try to earn them as high return as possible, given the strategy. The second group are midsize to large are funds that actually have more people and they built organizations and sometimes they do things on their own, but often they look to people like us to put their money to work. And what’s important for them is that they come into our funds, but we also can offer them other investments. And sometimes for the larger ones those are co-investments that side us in deals. So, it’s too big a fund, we take some may be in our listed partnership around balance sheet, but we also offer some to them, as co-investors into a specific opportunity. And secondly, and maybe more uniquely to us often people do that. But secondly and more uniquely to us is we do many things on our own balance sheet that don’t fit the mandates of the funds. And increasingly we do every one of those opportunities with our institutional clients as partners. So they’re getting opportunity to directly invest into opportunities with us on a percentage basis. And that’s very important to some of them. And those three things together, just give us a greater ability to interact with the institutional clients and to assist them achieve their goals and every time we can do that, they come back another time. And that accrues to the good of our franchise.
Mario Saric: Okay. I can appreciate that. I guess, is it reasonable to say, I guess in the near-term Cherilyn talked about the disconnect between public and private market valuations and its pretty pervasive across most real asset classes today. Clearly it’s not impacting your near-term fundraising capabilities with the discussion of a $10 billion plus infrastructure fund going forward. But over the longer term the maintenance of those types of discounts to NAV underlying sublevels does that impair fundraising ability over the long-term, after you sold the bunch of assets and the underlying funds in one time [ph]?
Bruce Flatt: Yes, I would say, I would respond the following: I don’t think it does and I think where – there is enormous change going on in the institutional client world. Driven by the fact that interest rates have come down dramatically over the last number of years and they need to earn yield within their funds. And the percentage allocations to real assets hasn’t even started to go to the percentages which most of them want. And as a result of that probably the most important thing is that they still, most institutions are still far underweighted to their percentages of real assets, real estate infrastructure and other real assets. And therefore even if the funds come down in total size because equities went down, even if there some of the funds take money out of their pools or they get smaller. They’re still going to be allocating percentages to real assets. And we’ve seen very little change over the last year in that movement. And in fact, there are parts of the world where we think the allocation percentages are only starting. And Asia would be one of those they are very under-allocated to these type of products and as the insurance business in China, for example, grows over the next 25 years. There will be very significant percentages allocated to these types of assets and some of it will be global not just in the local market. So I think it’s going to continue despite what the comments that the environment that you suggested.
Mario Saric: And I guess given those rising allocations to assets across many geographies are you seeing any shift at all with respect to your discussions with sovereigns or other institutions in terms of potentially investing directly in publicly traded securities as opposed to providing capital for your private fund. So for example, BPY is trading at a very substantial discount to your IFRS NAV, sovereigns or institutions come in and get units at a 30% to a 35% discount to NAV as opposed to providing capital for private firms going forward, arguably at any of the initially particular given BPY co-invest in those future private funds you are getting exposure on both sides of the chart, we’re getting a much cheaper valuation going in? So do you see any trends on that front?
Brian Lawson: We haven’t seen anything of note today, it’s Brian, Mario, I mean obviously that’s going to happen in the secondary markets. It would be fairly unique circumstances of where and something would be clearly accretive for us to do that to treasury.
Mario Saric: Okay
Brian Lawson: So we’re not seeing any sort of major sovereigns taking conscious and noted acquisition program of stakes – large stakes in our listed issuers.
Mario Saric: Okay. Thank you.
Operator: The next question is from Neil Downey of RBC Capital Markets. Please go ahead.
Neil Downey: Hi, good morning. Maybe a question directed to Brian, your disclosure shows $39 billion of private funds and co-investment capital. If you were to slice that number up, say in percentages. Is it possible to give us a high-level view as to the geographic sourcing, let’s say from Asia versus the Middle East versus the Americas and any other relevant region? And I suppose the reason I ask is that oil is $30 a barrel and it used to be $100. And this capital that you have today is obviously very sticky. But how should we think about the opportunity in terms of growth in AUM for the private funds and where the capital may come from in a world of $30 oil?
Brian Lawson: Sure. So Neil, I will pick up on a comment that Bruce made earlier, but in essence – in terms of the geographic allocation of our private fund commitment, we’re still pretty heavily weighted towards North America, U.S. and Canada. And so while there is some Middle East component to that, it’s probably more in the 10% to 15% range overall, and frankly it’s continue to be a good source of funding. And we are not really seeing any abatement in that. Obviously, these things can’t play out over time, but the other point is there are a number of areas that we see large potential increases in the funds flow in our ability to access those. So we’re pretty heavily underrepresented in Europe at this stage of the game. But in particular going to Bruce’s comment on Asia, where we made some great progress, but there are tremendously large pools of capital. An increasing regulatory and other reasons, we’re seeing much more of that capital flow into funds like ours.
Neil Downey: Okay. And one follow-up question, you made comments earlier about how the strength in the U.S. dollar has really been a headwind to the growth in the company’s U.S. dollar centric net asset value or intrinsic value. Do you have a view as to whether that big shift is largely now done. And are you doing anything proactively in support you either way with respect to your hedging or other policies?
Bruce Flatt: Yes. Our view is that we’re almost through the U.S. dollar being strong. Now, it may not change a lot for the while, but you’re not going to see substantial movements in the currencies, in particular that we operate in other than the U.S. dollar. And therefore, you’re going to see – the detracting from results will be over. And you’ll not see any negative amounts going forward, after maybe the first or second quarter this year, just because a lot of it happened in the last half of last year. As a result of that view, we have been scaling out of hedges we had in many of the other currencies that we had hedged. And therefore you’ll see much more local currency exposure going forward. And in essence, what we’re doing is we’re buying those assets at this point in time and local dollars at this currency price. And because we just think it’s the right – there’s no reason to have hedges, if we view that the cycle is played out, and we don’t need the protection anymore. But it may be a while until that all plays out.
Neil Downey: Okay. Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Andrew Willis for closing remarks. Please go ahead.
Andrew Willis: Thank you operator, and thank you everybody for listening. Please feel free to reach out to us, if you have any further questions. We look forward to updating you after the first quarter of 2016.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.